Operator: Good day, everyone, and welcome to today's Weave Third Quarter Fiscal Year 2022 Earnings Call. Today's call is being recorded. And now at this time, I'd like to turn the call over to Maria Hocut. Please go ahead.
Maria Hocut: Thank you, April. Good afternoon and thank you for joining us for the Weave Communications third quarter 2022 earnings call. Joining me on the call today are Brett White, Chief Executive Officer; and Alan Taylor, Chief Financial Officer. Full details of our results and additional management commentary are available in our earnings release, which can be found on the Investor Relations section of the website at investors.getweave.com. Please note that this call will be simultaneously webcast on the Investor Relations section of the company's corporate website. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws, including, but not limited to, statements regarding these future financial results and management's expectations and plans for the business. These statements are neither promises nor guarantees and involve risks and uncertainties that may cause the actual results to differ materially from those discussed here. You should not place undue reliance on any forward-looking statements. Factors that could cause actual results to differ from the forward-looking statements can be found in our Form 10-Q filed with the SEC on August 12, 2022, which is accessible on the SEC's website at www.sec.gov and also available on our website at investors.getweave.com as may be supplemented in subsequent periodic reports we file with the SEC. Any forward-looking statements made in this conference call, including responses to your questions, are based on current expectations as of today, and we've assumed no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. The following discussion contains non-GAAP financial measures. For a reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our earnings press release, which is available on the IR section of our corporate website at investors.getweave.com. Now I will turn the call over to Brett White, Chief Executive Officer of Weave. Brett?
Brett White: Thank you, Maria, and thank you, everyone, for joining us today, and welcome to our third quarter financial results conference call. I'm very pleased to address you today as Weave's new CEO. My tenure with Weave started when I joined the Board of Directors in July of 2020 and continued when I joined the executive team this past April. My history with Weave plus my prior C-suite experience with SMB software and payments company has made for a smooth transition into my new role. As CEO, I'll have laser focus on delivering experience that our customers love, building a scalable foundation for profitable growth and fostering an effective and engaged team that lives our core values. I'm extremely thankful for the overwhelming support that I've received from our Board, our investors and our Weave team members since joining the management team, and I am very optimistic and excited about our future. Before Alan provides details on our Q3 financial results, I wanted to share some highlights from the quarter. We saw continued improvement in our go-to-market execution and results throughout the quarter following the changes that we made earlier this year. This contributed to our record Q3 revenue of $36.2 million, representing year-over-year growth of 20%. The team has been hard at work improving the efficiency of all aspects of our business, which is reflected in our Q3 results. Year-over-year, we've improved our non-GAAP gross profit by 33%. We've reduced our non-GAAP operating loss by 34%, and our non-GAAP operating loss margin from negative 33% of revenue to negative 18% of revenue. Meanwhile, we've increased subscription and payments revenue $6.6 million with only addition of $2.4 million in operating expense, much of which was due to us becoming a public company in November of last year. These trends demonstrate that we are improving our business efficiencies in driving positive results. For those that may be newer to the Weave story, I'd like to provide a little background on our key revenue drivers and their evolution over the past couple of years. Like most SaaS companies, our revenue model is like a big flywheel that you must continue to impart energy upon for it to accelerate its rotation. For our business, the largest source of new energy that accelerates our flywheel is new customer acquisition. Prior to the COVID pandemic, a major source of new customer acquisition for Weave was in-person industry trade shows and events. These in-person events effectively halted in early 2020, which had a significant negative impact on our new customer acquisition channel and contributed to the declining revenue growth rate that we've seen since that time. I'm pleased to report that in the latter half of Q3 of this year, we saw these in-person industry events continue to come back and translate into sales for us. Even though these in-person events are still below pre-pandemic levels, we view that these as green shoots that bode well for our future. Additionally, as we outlined in our March 2021 earnings call, we put into effect a new sales model at the beginning of the year, the goal of which was to better align resources across our sales processes. The transition to the sales model was expected to take six to nine months and ultimately drive the long-term productivity of our sales team. We are pleased to report that we improved sales performance in Q3 relative to the first half of the year in the form of increased sales; reduced sales team attrition; increased number of ramped sales reps; lower customer acquisition costs and better sales lead close results. And while this is clearly another green shoot benefit that we are seeing and adds to new customer and revenue acquisition, we will continue to aggressively focus on go-to-market efficiency to continue this positive trend. I'm sharing these two go-to-market updates to help stakeholders understand some of the positive momentum we are seeing in our business that, due to the size of our flywheel, may not become visible in the form of revenue growth in the near-term. However, as we continue to capitalize on these positive indicators in our sales motion and double down our operational improvements throughout the business, we do expect to enjoy a meaningful sales momentum in 2023 and continued progress towards profitability. Moving on to technology enhancements. The pandemic and economic uncertainty that caused rapid changes in the operating environment for many small and medium health care businesses. A recent study found that these offices are becoming short staffed, due to the great resignation and burnout, yet only 27% have invested in technology to aid their employees. Weave's platform directly addresses this key pain point, streamlining patient engagement; improving the employee experience and overall efficiency. Healthcare practice owners are searching for new ways to automate tedious office steps to keep their staff happy and productive and, more importantly, provide a positive patient experience. During the third quarter, we continued to expand our technology platform with enhancements and additional products. For example, we improved our Online Scheduling & Text Connect features, which give practices a way to let patients schedule appointments directly from their website, saving staff time and letting them capture more business each day. With deeper functionality and integrations for select practice management systems, offices can now customize their online calendar with appointment types, providers and schedule availability. We added a new feature called Phone Reporting Analytics for multi-location practices to give office administrators more visibility into their day-to-day operations. With it they can now monitor important efficiency metrics like missed calls in the busiest hours of the day for phone calls by location. This data can help offices make better staffing decisions to improve both patient and staff experiences. In addition to these feature improvements, our engineering teams have delivered substantial operational efficiencies and cost savings to the business via several initiatives to streamline our data center infrastructure. We will see future benefits and operational reliability and scalability, both of which will improve the overall customer experience and our gross margins going forward. These enhancements have also increased our capability related to larger multi-location clients. In February, we announced our largest new customer signing ever, an agreement with Dental Care Alliance for over 370 locations across the U.S. As we've concluded our work to implement the Weave platform into these businesses, Dental Care Alliance has opted to expand its contract with us to serve new locations as they become live in their portfolio. These additions to the platform and our ability to innovate have been continually recognized by our customers. In addition to being honored as the best ROI software by G2 this summer, we were named the market leader in five key categories yet again by G2 in the fall 2022 software report, which is driven by verified customer reviews. As part of our commitment to supporting our current customer base and helping them unearth new ways to get the most out of our all-in-one platform, on October 26, Weave hosted its first ever virtual user conference, which featured deep dive discussions into our platform of services and live training to help attendees utilize the full value of the Weave offering. Thousands of these customers registered for the event, sparking additional interest in some of our latest platform enhancements. The cross-functional effort to launch this event is a great representation of one of our company's core values. The customer is everything. You can access this conference content at getweave.com/connect. As I mentioned earlier, alignment around company values and maintaining high employee engagement continues to be a focus for our leadership team. Weave was recently named a certified Great Place to Work for the fourth year in a row, because of our culture, outlook and career opportunities. Additionally, we are recognized nationally for our diversity, equity and inclusion practices by Top Workplace USA. As part of our commitment to the global Weave team, we had our first on-site employee meeting in India, consisting of roughly 60 engineers and other technical team members. This is a team that was built in roughly 18 months and reflects a very valuable, highly skilled group, working in conjunction with our U.S.-based team to increase our product and engineering innovation throughput. We expect to continue to build these teams and continue to invest in both geographies as it supports our future priorities around technology innovation and enhanced customer experience. In conclusion, I'm very excited to assume the Weave CEO role at this point in our journey, and I'm very optimistic about our future. Although there are many factors in the macro environment that we cannot control, I am thankful for a strong and resilient customer base. We are seeing green shoots in our business results and continuing recovery in the pandemic-related headwinds that have faced us for the last couple of years, and I am confident in our team and our ability to execute against the initiatives that we do control. While the financial benefits of these positive trends and our outlook on ongoing customer engagement may take time to realize, it is clear that during 2022, we have realigned our capabilities and resources to support the next phase in the company's evolution, including significant year-over-year improvements in both non-GAAP gross margins and operating margins, and we will aggressively focus on profitable growth and continuing improvement in free cash flow with an emphasis on getting to breakeven. Now Alan will provide details on our third quarter results and our Q4 outlook.
Alan Taylor: Thanks, Brett. On behalf of Weave, I want to welcome Brett to the CEO role. It has been a privilege to work closely with Brett since he joined our Board in mid-2020. The entire Weave team quickly grew to appreciate his capacity and energy when he joined the executive team in April. Now we all look forward to working closely with Brett as he leads the next phase in the company's journey. Regarding our third quarter financials, in the quarter, our total revenue reached $36.2 million, slightly above the top of our guidance range. The 20% year-over-year increase was almost entirely driven by the new customers we added over the last 12-months. We also had a small revenue benefit from existing customer expansion, as indicated by our net revenue retention rate of 101%. In addition, our gross revenue retention rate remained at 94%, where it has been for the last four quarters, with signals that our specialty health care customers remain stable and avid users of the Weave platform even during the evolving economic conditions. As we have mentioned in prior quarters, our 20% growth rate reflects the impact of changing our nationwide install program that contributed roughly $740,000 to revenue in Q3 2021. Excluding that impact, our growth rate is 23% year-over-year, which is the growth for our subscription and payment revenue. The change we made to our nationwide install program impacts our revenue growth, but it eliminates channel conflict, expands our gross margins, better leverages the expertise of our IT partners and improves the experience for our customers. As I discuss our expenses and margins, I will refer to non-GAAP results. You can find a reconciliation to the related GAAP results attached to the earnings release issued earlier today. We earned a non-GAAP gross profit of $23.4 million and expanded our gross margin year-over-year by 660 basis points to 64.6% from 58%. We have focused on reducing our COGS spend through both vendor negotiations and optimizing our operations. This margin improvement also reflects the benefits from the outsourced installation program I just described. In addition, we expect our gross margins will continue to improve as an increasing portion of our installed base has fully depreciated hardware, and we continue efforts to reduce third-party costs related to certain platform features and data usage. During Q3, our non-GAAP operating expenses increased by roughly $2.4 million, compared to a year ago period versus a $6.6 million increase in subscription and payments revenue for the same period. The change in OpEx includes a $1.3 million increase in G&A, due to an increase in D&O insurance premium required as a result of becoming a public company in November of last year, expenses related to changes in our executive team and certain professional fees. Our R&D non-GAAP expenses increased by $1 million, reflecting our ongoing investment to expand our engineering and innovation capabilities, as Brett discussed moments ago. Meanwhile, our sales and marketing expenses grew modestly, reflecting increases in personnel expenses related to implementing our go-to-market changes. Our non-GAAP operating loss was $6.5 million, a decrease of roughly $3.4 million or 34% versus Q3 of last year. The corresponding non-GAAP operating loss margin of 18% is a significant improvement from the operating loss margin of 32.8% a year ago. Our non-GAAP net loss was $6.5 million or negative $0.10 per share in the third quarter based on 65.1 million weighted average shares outstanding. This is compared to a non-GAAP loss of $10.3 million or negative $0.72 per share a year ago. Adjusted EBITDA loss was $5.2 million, a $3.9 million improvement year-over-year. The corresponding EBITDA loss margin of 14.2% is a dramatic improvement, compared to the EBITDA loss margin of 30% reported a year ago. We continue to have a very strong balance sheet and flexible financial position with $118.4 million of cash and equivalents on hand at the end of the quarter. We have more than enough cash and liquidity to fund us through to cash flow breakeven and profitability. In Q3, we had a free cash flow usage of $4.6 million, which was an improvement of $1.8 million, compared to the prior period, driven primarily by significant reductions in PP&E investments as we completed the build-out of our new headquarters in early 2021. Turning now to our guidance. For the past two years, we have offered our Digital Forms product in partnership with a third-party. We made the decision to offer our customers a more fully integrated Digital Forms product built by Weave, and our full-year 2022 revenue guidance provided throughout this year anticipated that the transition from the partner product to an in-house product would occur in 2023. In Q3, we decided to end the forms product partnership earlier than we had planned. This transition negatively impacted net revenue retention and revenue in Q3 and will have a negative impact again in Q4 as it will take time for our new in-house Digital Forms product to replace the partner product revenue. Ending this partnership allows us to offer a Digital Forms product that is more deeply integrated with our platform, offer significantly higher margins and is a more compelling solution for our customers. But it will have approximately a $1 million impact on Q4 revenue. Although this transition is a headwind to our Q4 forecast, as Brett mentioned previously, we are encouraged by the traction in live events we have seen in Q3. September was our best month for events since the COVID pandemic hit. And while this is an early indication regarding events, it is encouraging. In addition, we will continue to see noticeable margin improvements over the near and mid-term. As Brett and I have discussed here, we have already changed our engagement with certain third-parties to achieve the dual benefits of improving our margins, remaining focused on our core competencies and also improving the customer experience. Given these considerations for the fourth quarter, we expect total revenue in the range of $36 million to $37 million and a non-GAAP operating loss in the range of $7.5 million to $6.5 million. We expect to have a weighted average share count of approximately 65.6 million shares for the fourth quarter. For the full-year, we expect total revenue to be in the range of $140.5 million to $141.5 million, which is $3 million higher than the initial 2022 expectation we provided on our March 2 earnings call, but is a $1 million decrease versus our previous midpoint expectation given on August 3 due to the forms product transition. We expect our full-year fiscal 2022 non-GAAP operating loss to be in the range of $34 million to $33 million, which assumes improvement in our operating loss as a percent of revenue. We expect to have a weighted average share count of approximately 65.1 million shares for the full-year. With that, now we will be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] And we'll first hear from Parker Lane of Stifel.
Matthew Kikkert: This is Matthew Kikkert on for Parker. Thanks a lot for taking my questions. First off, it seems like you placed a lot of attention on multi-location practices recently. How has the traction been in that opportunity set outside of the Dental Care Alliance that you talked about? And do you have a dedicated go-to-market team for those multi-location practices?
Brett White: Yes. Thanks for the question. So I'll take the first part. And then Alan, you can follow-up. So yes, we have been seeing traction. We've been spending a lot of time working on the product. We've announced some product enhancements today that improve our capabilities to make the product more attractive to multis. We are building that pipeline. That is a longer sales cycle, for sure, than the individual locations. And yes, we do have a dedicated team. It's a small team, and they're building their pipeline now. Alan, anything to add?
Alan Taylor: Yes. We're developing a new muscle with respect to really having a sales pipeline to monitor and to report on. And that mid-market team continues to flesh out that pipeline. And these kinds of sales, as you can expect, would behave a little bit more like enterprise sales, but reflect a wonderful opportunity for us to go after as we continue to evolve the product and meet those requirements in the multi-app space and service DSOs and their counterparts in the other markets.
Matthew Kikkert: Okay. That's great to hear. And then secondly, as part of your revamped go-to-market motion, do you anticipate continued hiring throughout the remainder of the year? And then are you still focused on solely talent in Utah? Or are you expanding to remote salespeople as well?
Alan Taylor: So we will, although the good news there is that the attrition is slowing. But more than anything, we're going to be focused on the improvement in sales productivity. We see many more ramped sales head count, obviously, as we've gone through the year, which is positive for us. And that sales productivity is really going to be the focus of what we do there.
Brett White: As far as locations, we're going to be focused on hiring where the talent is. There is a lot of sales talent in Utah. But certainly, we won't limit ourselves if we can find great talent in other locations.
Matthew Kikkert: Okay. Thank you very much for taking questions.
Operator: [Operator Instructions] Next, we'll hear from Michael Funk of Bank of America.
Michael Funk: Yes, thank you for the questions this evening. You mentioned a few times about the flywheel effect for revenue growth and of the sales -- sorry, the productivity has increased. You also mentioned the negative effect from forms. So how should we think about the sales cycle first as productivity does ramp and then the sequencing of revenue growth the next couple of quarters as that productivity improves and you bring those forums back in-house?
Alan Taylor: The forms, we are -- we already had the forms product in place. We were growing and developing that product as we were still working with the partner. As I mentioned, it became necessary for us to do that a little more quickly given the developments in the third quarter. So we've done that. We were in a very low-margin situation with the prior forms. So even though the rev top line implications are a little more significant, the bottom line, actually, the margin improvement in our in-house forms is going to be very good for us from a margin perspective. It will take us a little while to replace the top line revenue. We anticipate that taking no longer than six months, but it won't take us long at all to replace the bottom line impact.
Brett White: And then on kind of just overall revenue trajectory, so we've given you Q4. We're in the process of finalizing our annual operating plan for 2023. We'll finalize that, get it through the Board for approval, and then we'll be sharing our outlook for next year in our next earnings call.
Michael Funk: Got it. And then one more, if I could. Appreciate the commentary you also gave on industry conferences and in-person. Maybe even just, kind of, qualitatively or comparison-wise, where are we now with gross additions as those events ramp up and productivity increases, as well relative to where you were, say, a year ago or even 24 months ago?
Alan Taylor: Sure, I would respond. It's very encouraging to have had our best month in September that we've had since the pandemic hit. The events and seeing people come back, it's not at pre-pandemic attendance levels. But even so, it becomes a productive way for us to both sell deals at the show, as well as come back with an armful of leads that can be worked from the home office. The one other thing that we believe these events do is they have a halo effect of marketing that those that attend these events see the energy around the Weave booth. They're able to view the Weave product. And that presents an opportunity for them to become exposed and enthusiastic or at least positive about the Weave products so that when they're called or contacted later, we have a higher probability of success.
Michael Funk: Great. Thank you for the questions. I appreciate it.
Operator: [Operator Instructions] Alex Sklar of Raymond James has our next question.
Unidentified Analyst: This is [Jonathan] (ph) on for Alex. Thanks for taking the question. It will just be one from us. Alan, I know we don't get the location count any longer. But can you talk about how subscription revenue per location has trended? You have a lot of new product developments, including Review Analytics and Online Scheduling. So just kind of curious if these are contributing to increasing price points or more of a future growth opportunity there. Thanks.
Alan Taylor: So thank you for the question. We've been very stable and trending slightly up on MRR. We do have products in the queue that, obviously, we are enthusiastic about improving that. But so far, we've seen stable annual contract values or monthly revenue amounts for our customers. So that's a positive sign of growth despite the economic conditions we're facing.
Operator: Was there anything else caller?
Unidentified Analyst: No, thank you.
Operator: Mark Schappel of Loop Capital has our next question.
Mark Schappel: Hi, thank you for taking my questions. Alan, starting with you, I was wondering if you could just talk about what you saw with respect to customer churn in the quarter. Was it within the normal range?
Alan Taylor: It was. We track that obviously very closely. You can see from our gross revenue retention rate, they remained at 94%. That's a positive result. So we're not -- from a customer's churn standpoint, we're not seeing anything out of the ordinary. It's been consistent through the course of this year. And so we're very pleased about that.
Brett White: The other thing that I would add is -- let me just add one thing. When -- often, when folks think about SMB, they think about a churn-y customer base. Our customer base is incredibly resilient. These are individuals, who basically dedicated their lives to their craft. They've gone to school. They built businesses. They don't really have another option to go do something else. So business turnover, business churn is very low. And I can tell you for an SMB company, our churn, our gross retention is very, very good, and our churn is very low.
Mark Schappel: Great, thanks. And then Brett, I was wondering if you could just give us a few more details on what you're seeing with respect to customer responses like in the macro environment. I think last quarter, it was noted that maybe some sales cycles were starting to extend a little bit. What are you seeing this quarter?
Brett White: Yes. So happy to share what we're seeing. It's actually pretty interesting. So we're seeing -- so historically, maybe the office administrator would make the purchase decision. And now maybe the doctor is getting involved, getting maybe involved. Maybe if there's a couple of doctors in the practice, they're both getting involved. So like we mentioned in our last earnings call, sales cycles appear to have elongated a bit, but not -- it's not dramatic. The other thing we're seeing, as Alan mentioned, is pretty steady gross retention. I think all customers, SMB business owners, are all looking to ensure that they're getting value for their spend. And the Weave product is holding up quite well against that review. And so that's one of the things we're just super focused on is making sure that our customers are happy. They're getting value for our product and that we're continuing to release new features and new functionality to deliver even more product -- more value in the products that they have. So the other interesting thing is on the new sales, the price point is holding up very, very well. And so that's another encouraging sign.
Mark Schappel: Great. Thank you.
Operator: [Operator Instructions] It appears there are no further questions at this time. Also, that does conclude today's conference. You may now disconnect.